Operator: Good day, ladies and gentlemen, and welcome to the AMC Networks Third Quarter 2021 Earnings Conference Call. At this time, all participants' lines are in a listen-only mode. As a reminder, today's call is being recorded. I would now like to turn the call over to your host, Nick Seibert. Please go ahead.
Nick Seibert: Thank you. Good morning, and welcome to the AMC Networks Third Quarter 2021 Earnings Conference Call. Joining us this morning are Matt Blank, Interim Chief Executive Officer; and Chris Spade, Chief Financial Officer. Today, we will begin with prepared remarks, and then we'll open the call for questions. If you do not have a copy of today's release, it is available on our website at amcnetworks.com. Before we begin, I would like to remind everyone that this call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks' SEC filings for a discussion of risks and uncertainties. The Company disclaims any obligation to update any forward-looking statements made on this call. On today's call, we'll discuss certain non-GAAP financial measures. The required definitions and reconciliations can be found at the end of the earnings press release issued today. With that, I'd like to turn the call over to Matt.
Matt Blank: Thanks, Nick, and good morning, everyone. With nearly two months under my belt at AMC Networks. It's great to be back in an environment with strong quality content at its core, echoing my many years leading Showtime. And a quick thank you to my friend, Josh Sapan. Josh and I have known each other for decades, and I'm grateful for his continued friendship, guidance and counsel. And I'm most grateful to be working alongside the terrific team here at AMC Networks. It's also so nice to be joined on this call by some longtime friends from the analyst community. AMC Networks had strong results in the third quarter, including revenue of $811 million, the highest quarterly revenue in the Company's history. We expect to have a strong finish to the year, so much so that we're updating our full year financial guidance, with an increase in total company revenue growth in the mid-single digits and total company AOI growth in the low single digits. And we're on track to deliver on the 9 million paid streaming subscribers that we first referenced in February of this year across our streaming portfolio of AMC+, Acorn TV, Shudder, Sundance Now and ALLBLK. Chris will expand on all of this in her remarks shortly. With our focus on targeted streaming, we're well on our way to our projected 20 million to 25 million paid streaming subscribers in 2025. With all the attention around the large streaming services that seems to dominate the news, it's clear to me that we're building a sustainable and long-term profitable business here with our unique approach to the market and how we're serving subscribers. As a new guy on the block, I thought I'd share some initial observations about the Company before turning this call over to Chris. AMC Networks is in a great position with several notable strategic advantages. First, we benefit from what I like to refer to as the beauty of small numbers and a very specific and carefully constructed approach to serving subscribers with targeted offerings that complement the larger streamers and our purchases companions to the offerings that have something for everyone. We have great IP and strong international content licensing revenue performance, which we are now transitioning to our streaming platforms revenue as we expand these efforts outside the United States. And we have an enhanced content pipeline in 2022 and beyond, unlocking untapped opportunities in both streaming and linear and driven by our strong brands. I'd like to take a few moments to expand on each of these. First, the 9 million paid streaming subscribers we expect to have by year-end and the 20 million to 25 million subscribers we project for 2025 may seem small when set against the large streamers. However, it will be absolutely transformational for us. 20 million to 25 million subscribers will make streaming potentially the biggest contributor to our business. And these goals are very attainable with our targeted strategy. We don't compete with the other streamers, and this puts us in a very solid advantageous position as we navigate a streaming future. And again, when I referenced the beauty of small numbers, I'm also referring to the content cost for our targeted portfolio. These costs vary, but, on average, are about six figures per episode across our various brands, a rational and sustainable content spend for what we are trying to achieve. Spending tens of billions of content each year is just not the business we're in today or we intend to be in the future. With our passionate superfan approach to streaming, we're focused on three important things that are core to our strategy and our success: content category depth, curation and community. Let's take our horror service Shudder, for example. No one super serves the horror fan better than Shudder. And our smart and sophisticated human curation ensures that we have the content that speaks to the true fans of the genre, most recently with titles like Creepshow and Slasher: Flesh & Blood. This is a huge strategic advantage that is not going unnoticed. Just a few weeks ago, The Wall Street Journal wrote about Shudder's non-algorithmic and personalized fan approach to curation. The idea of curation and fans discovering something new in a category that they love is something we hear about from our subscriber communities. For example, while you may not know titles like Acorn's Whitstable Pearl, The Heart Guy and Ms. Fisher's Modern Murder Mysteries or ALLBLK's Monogamy, Double Cross and The Last Fall, superfans of this programming do. And these are shows that drove subscriber growth to these services in the quarter and are among the most popular on Acorn and ALLBLK. Our current depth, curation and community are important differentiators from the mass streaming offerings, leading to lower churn and higher overall engagement. Continued investment in brands will remain key for us going forward. As a former marketing guy, brand building has always been in my blood. And I spent most of my career in the membership and subscription business. One thing I've learned is that it's a privilege to be invited into a paying customer's home. And it's critical to ensure our connection with these consumers is meaningful enough that they'll pay for us month after month, year after year. In a world where you can cancel with one -- just one click, ensuring your brand has a voice and your brand stands for something is more important than ever. AMC Networks has always pursued a strategy of targeting audiences with compelling content and powerful brands. And we've done a great job adapting this expertise to streaming. People associate Shudder with being the place for horror and suspense. They identify Acorn TV as the go-to service for British and international mysteries. The AMC brand and, by extension, our AMC+ offering is best known for two things: character-driven dramas, a legacy that started with Mad Men and Breaking Bad and now includes the likes of Kevin Can F Himself, Gangs of London and Killing Eve, and the epic world of The Walking Dead, The Discovery of Witches and the forthcoming Interview with a Vampire. I do think there is more opportunity to continue to build the voice of these brands, particularly as we expand our streaming services into the overseas markets. The Company's strong IP and franchises and deep library of TV and film properties is another big strategic advantage and, frankly, an area I think is somewhat under-recognized and undervalued. AMC Networks' wholly owned or majority controlled library includes more than 6,000 series episodes and 1,300 films as well as more than 20,000 episodes of highly localized unscripted lifestyle content from our AMC Networks International business. In addition, we have some of the biggest titles and brands known to a global audience, such as The Walking Dead, the Anne Rice catalog and the Agatha Christie library. There's great long-term value in this broad collection of IP, and we're very focused on increasing production of our proprietary content, not only as we create new hits, but importantly, as we leverage our library of titles to enrich the content mix on our targeted streaming platforms. As our current deals with Netflix and Hulu expire, we'll have hundreds of hours of high-quality shows and films coming back to us, such as critical hits like Halt and Catch Fire, Turn and Rectify as well as all 11 seasons of The Walking Dead a few years out from now, great AMC content to be discovered and rediscovered by fans, driving growth and driving value across our portfolio. We see this as a huge area of opportunity that the Company is only now beginning to fully leverage. So we're pursuing a streaming playbook that is very different from the large services that are trying to appeal to everybody. We're all about having targeted services with powerful brands, creating communities of fans around our content and services and doing so in a way that puts us in an entirely different arena when it comes to content costs and investment. One of the impacts of the COVID-19 pandemic over the past 18 months or so is that it accelerated what was to have been a far more orderly transition to streaming, perhaps by as much as four or five years. The massive growth of the big players during this period of time brings them much closer to some level of market saturation at an earlier point in time than we would have otherwise anticipated. As consumers become more accustomed to streaming, they're also looking to go deeper in different content areas, and targeted services like ours are well suited to provide this content depth. We're projecting to more than double our size in just a few years. So in short, there's a lot of subscriber growth runway ahead of us to take advantage of, once again, the beauty of small numbers. Our channels business remains sizable and continues to provide steady cash flow, and it's a powerful platform we're utilizing to promote streaming, subscriber acquisition, elevate content and strengthen new and continuing partnerships with distributors. We continue to be in close harmony with across both linear and streaming. Our channel business also provides us with a rich opportunity to grow our relationship with advertisers. To expand on advertising for a moment, our third quarter ad revenue benefited from a continuing robust market and strong execution by our commercial revenue team. We had a great upfront with some of the highest price increases we've seen across our linear channels and increasing demand for our digital inventory within the programming we're making available across AVOD and free ad-supported streaming platforms. And our terrific commercial revenue team continues to be aggressive in taking advantage of new advanced advertising technologies to help grow our business now and in the future. Before closing, let me touch on a few of the third quarter content highlights. AMC+ premiered the 11th and final season of The Walking Dead and expanded 24-episode season that will run through the end of next year and launched Kevin Can F Himself, which became an instant streaming hit, bringing a high volume of young female viewers to the platform and has already been renewed for a second season. Acorn TV had the biggest quarter in its history in terms of streams delivered, driven by top titles like My Life is Murder starring Lucy Lawless and Mid-summer Murders. Shudder just capped the biggest month in its history in October with its original film V/H/S/94 becoming its most watched and one of its most critically acclaimed movie premiers. ALLBLK had another successful quarter, driven by established original series as well as weekly talk show, Social Society. We continue to increase the collaboration between ALLBLK and WeTV, which has historically been the number one cable network for black women on Thursday nights and is now also the number one network with black women and adults on Friday nights. WeTV's Friday night success is largely a result of the strength of the Love After Lockup franchise, which continues to perform extremely well in both viewership and social conversation and will expand to a third series early next year. I'll also add that Sundance Now recently secured exclusive North American rights to the English language UK remake of the hit French series, Call My Agent, which has been a buzzy success for Netflix and one of my favorites. This new version will premiere on our platform next year. As I mentioned earlier, 2022 will be the biggest year for content in the Company's history. With many COVID-delayed productions debuting, including the highly anticipated returns of Better Call Saul and Killing Eve, the kickoff of the Ann Rice franchise with Interview with the Vampire, the continuing final season of The Walking Dead flagship series and the expansion of The Walking Dead universe with a new fifth series called Tales of The Walking Dead. I'll also note the upcoming original Series 61st Street, a great courtroom drama with Courtney Bevans, Dark Winds based on the Tony Hilleman best-selling novel, and Moonhaven, an incredibly timely show about a group that leaves Earth to colonize space. These are just a few of the content drivers that we believe will underpin our growth over the next year and for years to come. And throughout these remarks, I've referred several times to the beauty of small numbers. Well, the real beauty of these numbers is that they spell large long-term growth for AMC Networks going forward. With that, I'll turn the call over to my former and, thankfully, current colleague, Chris Spade.
Chris Spade: Thank you, Matt, and good morning, everyone. First, I will start by providing some additional details regarding our updated 2021 financial expectations, which Matt just mentioned at a high level. Our new outlook for the full year of 2021 sets the stage for a strong 2022 and continued proven execution toward our long-term subscriber goals of 20 million to 25 million by year-end 2025. We are reinforcing our plan to grow to at least 9 million aggregate paid streaming subscribers by the end of 2021. We have experienced ongoing subscriber growth momentum consistently every quarter, and we are on track to achieve our aggregate year-end subscriber goal for 2021. Streaming subscriber growth continues to be driven by our curated programming investments and supported by strategic subscriber acquisition and retention marketing investments. We will continue to invest to drive future streaming growth, particularly in new original programming, efficient subscriber acquisition marketing and platform enhancements. As we discussed on our last call, we expect streaming growth investments to be more heavily weighted toward the back half of the year and continue into 2022, in which we will have our strongest full year original programming slate ever. On the heels of our third quarter streaming performance, we anticipate accelerating streaming investments in the fourth quarter of 2021 and into 2022. We continue to see that streaming growth is supported by the combination of strong content and coinciding awareness and performance marketing. Going into 2022, for AMC+, we will have 22 original series premieres including three series finales for The Walking Dead, Better Call Saul and Killing Eve. Our series offerings in 2022 comprised our strongest slate ever. Today, we are raising our full year 2021 outlook for total company revenue and for adjusted operating income year-over-year growth. We expect full year 2021 total company revenue growth to be in the mid-single digits, driven by our strong results year-to-date, continued advertising and streaming revenue growth, partly offset by well-understood linear market dynamics. Regarding full year 2021 adjusted operating income, we now expect growth in the low single digits, reflecting our strong revenue performance to date, ongoing expense management and the continuation of strategic streaming investments that I just outlined. We continue to expect full year 2021 free cash flow to be approximately breakeven. Our free cash flow outlook contemplates continued content investments to drive our strong 2022 slate as well as the previously mentioned onetime cash payment associated with the July settlement. Absent this onetime payment, our prior free cash flow outlook of approximately $200 million would have remained unchanged. We are on track to achieve our updated full year goals, and we expect to enter 2022 with momentum. Next year will include our most robust content slate to date, and performance will be driven by the continued execution of our transformational streaming strategy and the optimization of our linear business performance. We anticipate continued investment in streaming growth and digital platforms. Our continued investment in owned and controlled content that supports our brands and is meaningful to our passionate audiences will be supported by strategic ROI-based subscriber acquisition and retention marketing. Moving to our third quarter 2021 performance. Total company revenues were $811 million, representing a 24% increase from the prior year, driven by higher content licensing, streaming and advertising revenues, offset by anticipated affiliate revenue decline. Adjusted operating income was $225 million, representing 21% growth from higher revenue, offset by additional programming and marketing investments. Adjusted earnings per share was $2.68. Regarding our third quarter streaming performance, we are pleased with the trajectory of our streaming businesses to date. Streaming subscribers and streaming revenue increased 74% and 83%, respectively, versus the prior year third quarter. We are seeing healthy retention rates and subscriber engagement metrics across every service in our portfolio. In the third quarter, retention rates improved across all of our streaming services compared to the prior year. For our operating segments third quarter performance, Domestic Operations revenue of $683 million increased 25% from the prior year. Adjusted operating income was $231 million for the quarter, representing 12% growth as compared to the prior year. Domestic Operations distribution revenue increased 26% to $483 million, the result of continued subscription revenue momentum and higher content licensing revenue in the quarter. Content licensing revenue increased 60% in the third quarter. Licensing revenue benefited from an increase in the number of originals we distributed in the quarter, including The Walking Dead, Fear the Walking Dead, World Beyond and others, as the timing impacts of pandemic-related production delays start to normalize. Subscription revenue increased 14% in the quarter, driven by streaming revenue growth attributable to an increase in subscribers. Streaming revenue growth was partly offset by a low single-digit decrease in the affiliate revenue, primarily attributable to linear subscriber universe declines. Domestic Operations advertising revenue of $200 million increased 22% compared to last year. This was fueled by healthy pricing for a strong quarter of original content, including The Walking Dead, Kevin Can F Himself, a Discovery of Witches, Creepshow and more. Advertising revenue in the quarter also reflected continued growth and monetization of our digital audience, partly offset by lower ratings. Domestic Operations adjusted operating income performance for the quarter reflects higher distribution and advertising revenues as well as increased strategic streaming investments specifically in original programming and subscriber acquisition and retention marketing. Moving to the International and Other segment. Revenue increased by 17% to $130 million. International and Other third quarter revenue trends continue to demonstrate the recovery at AMC Networks International and 25/7 Media. Advertising revenue increased 34% to $25 million, largely related to higher pricing and an increase in ratings as a result of strong performance across our international channel portfolio, with continued strong performance in the UK. Distribution and other revenue increased 13% to $105 million, primarily due to increased production revenue at 25/7 Media as well as increased subscription revenue at AMC Networks International. Adjusted operating income increased 148% to $22 million, reflecting an increase in revenues and continued expense management. Turning to free cash flow and the balance sheet. Free cash flow for the third quarter of 2021 represented an outflow of $101 million, primarily reflecting the timing of increased programming investments and the previously disclosed onetime litigation-related cash payments, which was paid in July of 2021. Our net debt and finance leases at the end of the third quarter were approximately $2 billion, as compared to $1.9 billion in the prior year period. Our consolidated net leverage ratio was 2.4x at the end of the quarter, and we remain comfortable with our balance sheet and current leverage ratio. There were no repurchases of AMC Networks' common stock in the quarter. We will continue to evaluate share repurchases on an opportunistic basis. Our capital allocation policy continues to remain unchanged. First, we will look to invest organically on projects that provide attractive returns to our shareholders. This includes return-based investment in the growth of our streaming services. Second, we will maintain leverage that is appropriate for our business outlook. Third, disciplined and opportunistic strategic M&A. And fourth, opportunistic return of capital to our shareholders. In summary, as you can see from our year-to-date performance and subscriber growth momentum, we are extremely well positioned to achieve our updated full year 2021 goals, setting a strong starting point going into 2022 and beyond for future long-term growth and stakeholder value creation. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of John Janedis with Wolfe Research. Your line is open.
John Janedis: Within your streaming forecast, how important are incremental distribution agreements like the Verizon deal to reach the targets? And understanding it's early, what does engagement look like from the Verizon cohort relative to the legacy subs? And then the overseas expansion, can you give us an update on the strategy?
Matt Blank: Sure. Thanks, John. Good questions. Obviously, any engagements on the marketing and promotional front that we can develop in coming years will help us reach those goals or go beyond those goals, but our plan is in place for getting to those numbers over the next several years. We're very excited about the Verizon deal. They're one of the great marketing organizations, great brands, and it's great to be associated with them. It is early in that promotion for us to really be talking about what it's going to mean in terms of sub growth for us. I'm sorry, what was the second part of your call -- your question?
John Janedis: Overseas -- overseas distribution.
Matt Blank: We are not as well penetrated overseas as a lot of others are. So again, that's just runway. We look all over the world. We see a huge runway for AMC's brands. And obviously, we plan to take advantage of those as we roll out our streaming plans.
Chris Spade: John, it's Chris. Thanks for the question. The other thing I would also add to Verizon is I echo what Matt says that it is important in our long-term strategy of growth. As we look at how we're going to build out and expand AMC+, it's a wide variety of areas that the growth will come from. So we have our core organic growth. And if you can recall, AMC+ only recently launched last year, so it's still a year plus into it, but it's still early days compared to some of the other services that are out there. So as we look ahead, we do see strong international opportunity for AMC+ and our targeted streaming services. And we have for AMC+ recently launched in Canada. There will be more countries to come. And also, for Acorn, we've launched in a couple of countries as well, and there will be more to come there. So global distribution is a big opportunity for us, and we're excited about what the future holds for that. Thank you.
John Janedis: Okay. Maybe separately I could sneak in the second one. You talked about the enhanced pipeline and, Matt, the beauty of small numbers. What are your expectations for growth in content investment with the market saturation for the larger players that you talked about? Does that change how you think about programming investment or the size of your opportunity?
Matt Blank: Our model is different. And one of the things I mentioned there is we're just not going to play the cost game that others are playing. And that strategy is not going to change. We are very confident about our ability to program these services aggressively. And frankly, based on my background, we're going to step on the gas pedal here. And that's going to benefit not just the current user experience, but also the IP that we own in the future. So we're not going to play other's games. We're going to continue to invest and -- in all the franchises here. And that's important as we roll out these targeted strategies.
Operator: Our next question comes from the line of Tim Nollen with Macquarie. Your line is now open.
Tim Nollen: Could I follow up on the International? I think you said in the prepared remarks that you've got some Hulu and Netflix deals expiring. You can put some of that content on your platforms, your own DTC platforms. I just want to make sure how that plays out in Europe as well because I know you've had some decent content deals in Europe, I think, also with Amazon. So the question is what content can you put on to your own platforms? And then a second question would be, I saw the announcement a few weeks ago about this partnership with The Trade Desk and Magnite on targeted programmatic linear advertising. Wondering if you could speak a little bit more about that. I think it's not completely new. You've been doing this for a little while already. Just curious about more details on this partnership. Thanks.
Chris Spade: Thanks, Tim. So first, on the international front, we are in this period where we will continue to optimize our linear performance relative to content licensing deals that we have in place. It's not a long-term plan for us in terms of continuing to renew these types of licensing deals. So over time, we will take back some of that licensed content for ourselves in markets where we are significantly out there with our streaming distribution. Given the IP that we have that Matt outlined, we actually do have strong IP that we can put in place in the standing products today internationally in select countries. So we will continue to go through this dance of optimizing and enjoying the current licensing revenue we have in place that will fuel the growth for the future. But for the long term, we really feel it's important that we have exclusivity in our content. And so wherever those deals will come to expire in countries that we are significantly investing in streaming, we'll look to have that product be exclusive. And then relative to the targeted programmatic linear advertising, we're very excited about what Kim Kelleher and our advertising team are putting in place across the board with advanced advertising. They're paving away a new frontier. And I think because of the nature of our strong content and the innovation that we're bringing to selling our advertising inventory, we're viewing it in a way that's exciting to our advertisers, and we can focus on the addressable market.
Operator: Our next question comes from the line of Michael Nathanson with MoffettNathanson. Your line is now open.
Michael Nathanson: Matt, I have a couple of you. First is, given your experience at Showtime and all you've done even before that, I wonder what do you think of the unit economics of this midstreaming business? When you look at the ROI or the lifetime customer value, anything you can share with us on kind of the comparable unit economics of this model versus the models you knew before? And then second is, last night, you probably know that Lions get announced they want to do something with Starz and consider opportunities. How do you feel about the need for maybe further scale? And do you think this is eventually -- I know you're playing a niche game. Were there any benefits to actually even adding more services and platforms, even though your niche to become stronger relative to distributors and other gatekeepers?
Matt Blank: Sure. Good question. First of all, the Showtime experience versus the AMC experience. When Showtime went into the streaming world, the -- it was really the same business in terms of the consumer experience. Consumers were used to paying for a premium network. Most of the other companies that have entered streaming with traditional businesses, that wasn't really the case. No one has paid directly for ESPN before. Nobody has paid directly for Discovery before. So it's a totally different model. Here, we look at our business model and say, this is a great incremental and sustainable business plan where we can generate strong margins and continue to grow our business around the world. So it's really a very, very different enterprise. And we feel really good about the plan here and only better about it going forward. In terms of the Lionsgate and Starz transactions, there's nothing really new here. These conversations have been in the marketplace for a long time. We'll see if they go anywhere. We don't feel that it's necessary for us to scale by acquisition in any way, shape or form. The model is working. It's going to continue to work. We think it's a sustainable model. We think it's a model that can grow. And it's a model that really fits how we define this company's future.
Operator: Our next question comes from the line of Michael Morris with Guggenheim. Your line is now open.
Michael Morris: I have two questions. First, for Matt, I'm curious, any additional insight you can give us on sort of changes either strategically or operationally with the management change? I know it's early, and the question is not meant to be sort of like a criticism of the past, but really a bit more specificity about your vision for the future of the Company and where we may see some changes. And my second question is for Chris. Really trying to get some frame of reference for this content slate into next year, I think you referenced 22 season premieres, which sounds like a pretty big number. Can you help us with how that compares to maybe the sort of COVID impact in '21, but also sort of like pre-COVID kind of peak levels of production? Is this bigger than you've ever been? Is it -- how does it compare to, say, 2019 or something like that? Thank you.
Matt Blank: Great. Thanks, Mike. Nice to be chatting with you again after a bunch of years. First, AMC, one of the things that impressed me right out of the box here is what an incredible group of leaders we have in this company across the board. And I'm already getting to adjust to the pace of how this company works, which is very quick, and the smarts of the people around me. What it means for my -- the strategy in terms of my being here, I am a fan of the strategy. I think they're doing a great job. It's a sustainable strategy. I don't want to spend too much time repeating what we said in the earlier part of the call. But whether it's the IP we own, whether it's the targeted services we have out there, whether it's the acceleration of our content plans, whether it's the strength that we still see in the traditional business, we think there's tremendous opportunity to keep growing this company. And I love the management of the Company, and I think they're the right people in the right places to help us keep on strategy.
Chris Spade: Mike, it's Chris. For your second question, it's a great question actually. When you look at our pipeline of content and where we've been historically, we've had strong franchises, strong series in place on the linear side that has helped fuel our streaming success and streaming growth. And even people that haven't watched some of the franchise shows have found them on streaming, and now they're coming back to us. Better Call Saul is a great example. And even I myself, as a consumer, I got hooked on Better Call Saul during the pandemic, and now I can't wait for the next episode. And I haven't even read the script because I want to be surprised. But relative to how we think about '21, it is our strongest slate ever. And now we have more ways than ever to monetize our content. If you think about where we were in '18 and '19, we didn't even really have AMC+. So although we had rights, we didn't have the service in place. So now we're at a place where we can maximize our monetization and also reap the benefits of that, not just in '22, but for years to come. Having said that, it is really important that we look at where [Technical Difficulty] were we -- sorry, I didn't know -- can you hear me, Mike? Because it looks like our line went...
Michael Morris: I can hear you. We lost you about 20 seconds ago, at least from my side. You started to talk about looking forward.
Chris Spade: Okay. Did you hear me talk about my love of Better Call Saul? Or you missed that part?
Michael Morris: Yes -- no, we got -- We got that part.
Matt Blank: You can say it again.
Chris Spade: By the way, I should not talk about Better Call Saul because The Walking Dead is my favorite show, but I'm taking Better Call Saul for the point. So -- but anyway, we really have our content as a monetization engine across all platforms, linear streaming, et cetera. And so when we look at the end of '21, we are making a strategic decision to invest more in our content and marketing and really unfold our powerful slate that we have next year to make the most going into next year and the years beyond.
Operator: [Operator Instructions] Our next question comes from the line of Thomas Yeh with Morgan Stanley. Your line is now open.
Thomas Yeh: Matt, following up on Michael's question on going after scale on the OTT side, are there other genres or cohorts of super fans where you think you can expand on the suite of targeted offerings that you have now even organically? Do you see that as an opportunity to kind of build scale in that way? And then, Chris, you cited ROI-based subscriber acquisition and retention marketing as an area of focus. Can you give us any color on what you're seeing on the trends around the effectiveness of performance versus brand marketing and how you see that mix evolving over time? Thanks so much.
Matt Blank: Thanks, Thomas. We're constantly evaluating ways we can expand on the strategy. And why wouldn't that make sense for us? And certainly, organically, if we saw pieces of our business that we thought lending themselves to expansion, we would chase that and we chase it aggressively. And we're being approached regularly with other targeted ideas in the marketplace, and we're ready to move when we think there's an appropriate target in terms of genre and target audience and the economics, so yes, on that front. Thank you.
Chris Spade: Thomas, it's Chris. Thanks for the question. I like that you're focused on the metrics because for us, it really is all about the metrics. It's really important to us that we're seeing strong lifetime value and lifetime revenue relative to our subscribers. And for us, our performance metrics are different for each of our services, and they're all very favorable in relation to the lifetime revenue and the value of a subscriber. The SAC costs that we're seeing today are consistent with our view that we can continue to expand our subscriber growth investments, including an added focus on retention marketing. And in regard to churn, we're seeing healthy retention rates across all of our services. And for AMC+ in particular, as I said, we're only a year past the initial -- year plus past the initial launch of the premium service, but we've grown significantly in the course of the 12 months, and our pacing continues to be strong. And there is a belief that we have that the COVID-driven push of consumers to streaming that did benefit us along with other streamers. But what we're seeing with AMC+ and the targeted services is that, because we're super serving fans, we have seemingly more sticking power and also given that we have attractive price points in place. So as we look to '22, the strong content slate will continue to drive momentum along with targeted and specific awareness marketing and performance marketing with an increased focus on retention marketing, and we're doing this all to try to support a lower churn and a more satisfied consumer.
Operator: [Operator Instructions] There are no further questions. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.